Operator: Greetings, and welcome to the Bacterin International Fourth Quarter and Year End 2014 Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Rich Cockrell, President of the Cockrell Group. Thank you, Mr. Cockrell. You may begin.
Rich Cockrell: Thanks Adam, and good morning and thank you for joining us today for the Bacterin fourth quarter and year-end 2014 financial results conference call. Joining me on the call today are Dan Goldberger, Bacterin's Chief Executive Officer; and John Gandolfo, Chief Financial Officer. Yesterday afternoon, the company was pleased to issue a release announcing fourth quarter and year-end 2014 results. Today’s call is being webcast and will also include a slide presentation which has been posted to the company’s website. Following remarks by management, the call will be open to your questions and we expect the duration of the call to be approximately one hour. Now during the course of this call, management may make certain forward-looking statements regarding future events and future and the company's future performance. These forward-looking statements reflect Bacterin's current perspective on existing trends and information and can be identified by such words as expect, plan, will, may, anticipate, believe, should, intend and other words of similar meaning. Any such forward-looking statements are not guarantees of the company’s future performance and involve risk and uncertainties including those noted in the Risk Factor section of the company's annual report on Form 10-K and the company's quarterly reports on Form 10-Q. Actual results may differ materially from those projected in these forward-looking statements. For the benefit of those of you who may be listening to the replay, this call was held and recorded on Wednesday March 18, 2015 at approximately 10 AM Eastern Time. Since then the Company may have made additional announcements related to the topics discussed herein. Please reference the company's most recent press releases and current filings with the SEC. Bacterin declines any obligation to update these forward-looking statements except as required by applicable law. With that, I would like to turn the call over to Dan.
Dan Goldberger: Thank you, Rich than you all for joining us. This is a very exciting time for Bacterin as we transition from a turnaround project to a revenue growth story. We have a lot of information to share with you this morning, so let me just give you a quick rundown of the topics we’re going to cover. And then John and I will go into a bit more detail on each one. On the financials, we’ll be giving you an overview of both, fourth quarter and full year 2014 performance as well as guidance for 2015. I will also spend a few minutes going over some new developments in the areas of sales, distribution and products. And I’ll tell you about an investment that Aspire Capital has made with the company as well as the status of our New York Stock Exchange MKT listing. In addition, I’ll let you know about our strategy for two for exiting two business lines that are no longer a good fit with our product portfolio. So let’s start with the numbers. I was thrilled by our previously announced 10% year-on-year revenue growth for the fourth quarter of 2014. We broke through $9 million to a record $9,081. Slide five shows quarterly revenue growth since I joined the company in August 2013. As you can see, fourth quarter 2014 represents our fifth consecutive quarter of year-over-year growth. As you know, we initially spent a few months stabilizing the business and at that time we saw low single digit growth for Q4 2013 and Q1 2014. Melanie Head, our Vice President of Sales and Bob Di Silvio, our President joined us in Q2 and Q3 2014 respectively and promptly rebuilt our hybrid sales function. They’ve done a phenomenal job helping to accelerate revenue growth to 10% in the fourth quarter of 2014 and we expect continued acceleration in 2015. Moving to slide number 6, you will see our annual performance numbers. For the full year 2014, revenue grew approximately 7% to $35.3 million. Let me emphasize that our current business model is high quality, recurring, end user sales to hospitals. You will also notice our substantial improvement in gross margin, thanks to the hard work and dedication of our Chief Operating Officer, Darrel Holmes and his team. We are forecasting 61% to 63% gross margin for 2015. John will discuss our operating results in more detail. Before I move on to the next slide, I want to take a moment to thank the Donate Life Organization and our recovery partners for the amazing work that they do. Our donor services team led by Rusty Morck has expanded our relationships with existing recovery agency partners and added two new relationships during 2014. These organizations allow us to process and deliver the high quality allografts that our physician customers have come to rely on. Slide number seven shows what we have to do to become profitable as measured by EBITDA. During 2014, our EBITDA loss averaged about $866,000 per quarter. With our current hybrid distribution model, incremental revenue has about a 50% flow through the income statement. Therefore, we need another $1,730,000 of revenue at 50% flow through to achieve EBITDA breakeven or a $10.8 million revenue quarter. Our goal, as a management team, is to break through that $10.8 million revenue per quarter target to become profitable later this year. I am confident we can do that and let me explain why. First of all, our products especially our flagship product OsteoSponge and our newly launched 3Demin Cortical Fiber constructs are absolutely outstanding. OsteoSponge and 3Demin are proprietary highly differentiated products that offer our physician customers reliable clinical outcomes and superior handling characteristics. In fact, the total market for these products to orthopedic surgeons and neurosurgeons represents about $410 million, that’s a very large business opportunity. Secondly, we have demonstrated success in establishing market share in cities where we have the right representation, contract access and physician changes [ph]. I expect our market share will continue to increase as we add the right sales assets in key markets to our hybrid team. The distribution contract with Spartan Medical that we announced last week is an excellent example of that expanded reach. And finally, our operations team has demonstrated the ability to ramp up recovery and processing, while simultaneously improving margins. Turning now to our sales function. Slide eight shows our actual full time field sales employee headcount from 2014 compared to our planned 2015 headcount. Our target of $315,000 of revenue per quarter, per full time productive field sales employee is an important metric that we monitor carefully. We remain committed to our hybrid distribution channel strategy and will continue to invest in adding full time employees and manufacturers reps throughout 2015. The management challenge is to continue to add field assets while maintaining that productivity metric. We are constantly recruiting and upgrading our field sales personnel. To be blunt, we simply don’t tolerate under achievement. This is the very nature of sales management and we will weed out under performers to make room for over achievers. Since it takes six to nine months for a sales asset to become fully productive, the 33 productive reps projected in Q2, 2015 and 36 productive reps for Q3, 2015 have already been hired and are working their way up the productivity curve. In summary, a fully staffed field sales organization of 39 in the fourth quarter of 2015 add a conservative productivity of $300,000 of revenue per quarter per employee will put us above that EBITDA profitable run rate as we exit 2015 and roll into 2016. Our guidance for 2015 revenue is $40 million to $42 million. In addition to increasing the number of sales assets we’ve deployed, we also have to be in the right places. Slide number nine shows our geographic footprint in the 20 largest U.S. cities. While our market share for demineralized bone matrix products is approximately 6% nationwide we are pockets of strength in Arizona, San Diego, Las Vegas and Seattle and weaknesses in certain other cities. We have a variety of tactics to continue growing in cities where we are already doing well, while simultaneously colonizing cities like Houston, Minneapolis and Boston where we have untapped potential. In addition to our geographic sales strategy we also made two important sales and distribution announcements in the past week. On March 10, we announced a new distribution agreement with Spartan Medical that will give us access to federal government medical centers and major military treatment facilities. Traditional orthopedic products generate 15% to 20% of their U.S. revenue from government and military hospitals, but Bacterin historically has generated little or no business from this category. In this week, we announced renewal of our contract with Novation. Under Bob and Melanie’s leadership we continue to have great success gaining contractual access to a variety of regional and national channels. These activities make our field sales assets more productive and open new market opportunities for us. Now I want to share some new product news. We increased our investments in R&D during 2014 in an effort to return Bacterin to its innovation roots. Greg Juda, PhD, Todd Meyer and the rest of our R&D team have done an outstanding job of that. Slide 10 shows our patent pending 3Demin Cortical Fibers that we launched towards the end of 2014. These fibers are processed by us with the proprietary technology. They can be used as is but our surgeon customers are intrigued by our ability to mould those fibers into arbitrarily large sheets and strips and even to use them in a 3D printing technique to create unique shapes. This product family has generated more than $250,000 in revenue since it was introduced making it the most successful launch in Bacterin’s history. We have two new product launches scheduled for 2015. One of those products will be indicated for general orthopedic use while the other is directed towards a specific foot and ankle procedure. Our R&D team has a robust product pipeline scheduled for 2016 and beyond that will continue to add to our orthopedics catalogue. In addition to our on developments, we are evaluating a number of acquisition opportunities that would leverage our regenerative medicine focus and our rapidly growing distribution capability that calls on orthopedic and neurosurgeons. I mentioned at the start of the call that I wanted to give you an update on the status of our New York Stock Exchange MKT listing. We are continuing to appeal the exchanges, decisions around our listing status. Our shareholder equity does not currently need the NYSE, MKT minimum requirements so we are exploring several structures that would resolve the shareholder equity deficiency, including the possibility of an accretive acquisition or merger. We are very pleased that Aspire Capital has chosen to make an investment in Bacterin, which was announced yesterday. We believe that Aspire will be an excellent long term investor to provide working capital for our future growth. Aspire has agreed to invest $750,000 in restricted stock and upto an additional $9,250,000 in the form of an aftermarket structure. Under this agreement the company at its sole discretion can put common stock to Aspire in return for cash over two year period. Management is confident that the plan we have described above to reach profitability can be implemented without any additional investment. We believe that the relationship with Aspire will provide the company with the most flexibility to run the business with minimum dilution to existing stockholders. Finally, I’d like to discuss the two lines of business that we have chosen to exit. Bacterin started as a coatings business, but quickly discovered that there is no efficient way to enter that market. My predecessor wisely moved the company to biologics where our business thrives today. We’ve identified an entity that has expressed interest in the coating business and underlying technology and those negotiations are ongoing. Bacterin acquired a line of hardware specifically for craniomaxillofacial fixation procedures, CMF procedures in 2011, but quickly discovered that we don’t have an effective distribution channel for that procedure. The previous owner of the product line has agreed to take over the existing inventory. I believe that discontinuation of these two businesses will reduce distractions and streamline our business by allowing us to further focus on our biologics. With that, I’ll turn it over to John to discuss our financial performance in detail.
John Gandolfo: Thank you, Dan. I would like to remind our listeners to refer to the fourth quarter 2014 earnings press release issued yesterday and also our Form 10-K for the year ended December 31, 2014, which will be filed in the very near future. I will review revenue, gross profit, gross margin and EBITDA numbers that Dan mentioned in his opening in more detail as well as global sales and marketing expense, G&A, loss from operations both, before and after impairment and net loss as well give guidance for 2015 and discuss the Aspire Capital investment as part of our financial liquidity. Fourth quarter 2014 revenue was approximately $9.08 million, an increase of 10% compared to approximately $8.26 million for the same period during 2013. Sequentially, fourth quarter 2014 revenue increased 7.4% over third quarter 2014 revenue of $8.45 million. The reported fourth quarter 2014 revenue figure represents the fifth consecutive quarter of increased year-over-year revenue growth since August 2013. Revenue for the full year 2014 was approximately $35.3 million compared to approximately $33.1 million reported for full year 2013 representing an increase of 6.8% over the prior year. Gross profit for the fourth quarter of 2014 was $5.8 million or 63.5% of revenues and this compares to $4.1 million or 49% of revenues for the fourth quarter 2013. For the year, gross profit was approximately $22.3 million compared to $18.9 million in 2013. Gross margin for the year was 63.1% which compares to a gross margin of 57.1% reported for 2013. The increase in gross profit and gross margins are the results of an increased focus on operations which has yielded improved manufacturing efficiencies. Although the company continues to report gross margins in access of previously stated guidance and believes that there may be some upside, we are keeping the gross margin expectation for 2015 between 61% and 63%. Fourth quarter 2014 sales and marketing expenses increased to $4.5 million as compared to $4 million during the same period in 2013. For the quarter, sales and marketing as a percentage of revenues increased to 49.8% compared to 48% in the fourth quarter of 2013 due to increases in sales and marketing headcounts. Full year 2014 sales and marketing expenses increased to $16.9 as compared to $16 million for 2013. As a percentage of revenues, sales and marketing expenses decreased to 47.9% compared to 48.4% reported for the full year of 2013. In the fourth quarter, general and administrative expenses decreased to $2.2 million as compared to $2.6 million reported for the same period last year. As a percentage of revenues general and administrative expenses were 24.5% during the period as compared to 30.9% for the same period of 2013. Full year 2014 G&A expenses decreased to $8.9 million as compared to $10.2 million reported for the same period last year. As a percentage of revenues G&A expenses were 25.2% as compared to 30.9% for 2013. The fourth quarter 2014 loss from operations before impairment was approximately $1.6 million compared to approximately $2.8 million in the fourth quarter of 2013. Full year 2014 loss from operations before impairment was approximately $5.4 million compared to a 2013 loss from operations before impairment of approximately $8.3 million. During the fourth quarter of 2014, the company made a strategic decision to discontinue with CMF and coatings product lines since they are not integral to the company's core strategy and represent an immaterial portion of the company's current revenue stream. In connection with this decision, the company reported a one-time, non-recurring impairment charge of approximately $913,000 during the fourth quarter of 2014. In the fourth quarter of 2013, the company recorded an impairment charge of approximately $729,000 associated with the write off of goodwill from a previous acquisition. The fourth quarter 2014 loss from operations after impairment was approximately $2.5 million compared to $3.6 million for the prior year. For full-year 2014, the company reported an operating loss after impairment of approximately $6.3 million, compared to $9.0 million for 2013. The reported fourth quarter 2014 net loss was $3.3 million, and this compares to a year ago period net loss of $4.2 million. For the full-year 2014, the company reported a net loss of $10.5 million compared to $12.7 million for 2013. Net loss per share for the full-year 2014 was $1.76 a share compared to a net loss per share of $2.80 for 2013. The company defines EBITDA as net income loss from operations before depreciation, amortization, impairment charges and non-cash stock-based compensation. EBITDA for the fourth quarter of 2014 was a loss of $1.1 million compared to a loss of $1.6 million for the same period during 2013. Full year 2014 EBITDA was a loss of $3.5 million compared to an EBITDA loss of $5.8 million in the prior year. Cash, cash equivalents and net accounts receivable were $8.9 million on December 31, 2014. In addition, as we announced yesterday, the company entered into a common stock purchase agreement with Aspire Capital Fund, LLC, a Chicago based investment fund. The agreement provides that once the company receives additional listing approval from the NYSE market, Aspire Capital will purchase $750,000 of unregistered common at $3.62 per share to closing price on March 13, 2015. The company can, from time to time, elect to sell to Aspire up to $10 million of common shares over a two-year period. The sales price of common shares purchased by Aspire Capital will be based upon the market price of our common stock at the time of each sale. The company may not sell any additional shares to Aspire until a registration statement related to the transaction has been declared effective by the SEC. There were no warrants issued in connection with this transaction and we believe the agreement with Aspire provides flexibility in obtaining working capital under terms which are less dilutive to common shareholders compared to other available options at this time. We do not presently intent to sell any additional shares to Aspire Capital. And we believe the current cash resources and potential cash proceeds from the Aspire agreement should provide adequate capital to fund the operations throughout the term of the agreement. Based on the anticipated growth that the Company's sales force and improved productivity from tenure sales reps combined with the current sales pipeline, we anticipate 2015 full year revenue to be in the range $40 million to $42 million. This suggests a year-over-year growth rate in the range of 13% to 19% for 2015 compared to 2014. Now I'd like to turn the call back to over to Dan.
Dan Goldberger: Thank you, John. Before we open it up for questions, I just want to say, it's been an exciting and productive year. We finished the important ground work and now have a solid foundation for accelerating growth in 2015 and beyond. Our growing team of field sales assets and new products both commercialized and in the pipeline are paving the path towards EBITDA profitability. I look forward to leading this company to the next level. Thank you for your support and interest. And with that, let's go to questions.
Operator: Thank you. We will now be conducting a question and answer session. [Operator Instructions] Our first question comes from the line of Suraj Kalia with Northland. Please go ahead with your question.
Suraj Kalia: Good morning, gentlemen.
Dan Goldberger: Good morning, Suraj.
Suraj Kalia: Congratulations on the nice quarter and congratulations on your guidance. Long time coming, hopefully better days ahead. So then, let me Dan and John, let me sort out here. If I remember correctly this is the first time you've given revenue guidance and obviously that suggest a certain level of confidence as we are moving forward. Is it safe for me to say that the ship has stabilized now and we should start looking at "year-over-year growth" every quarter? I'm trying to figure out that how should now that you have provided and the guidance is more than consensus, how should we look at the cadence of numbers especially from the housekeeping perspective?
John Gandolfo: Thanks, Suraj, excellent question. This is – since I joint the company, this is the beginning of the management team providing guidance. And our comfort in providing guidance represents the fact that we now have a track record of working with the business model. By that I mean we've figured out what we have to do with our distribution channel in terms of contract access and the right kinds of employees and sales agents to bring to bear in any given city. So, now that we've proved the business model if you will, we've got increasing confidence that we can continue to invest in the distribution channel and improve productivity and gain better visibility on increment revenue. In parallel with that, we had a successful product launch of the 3Demin Cortical Fibers and I'm very excited about the two product launches that we have scheduled for 2015. There still some seasonality to the business, which is why we emphasize year-on-year growth as oppose to sequential. But I'm very excited about the team and the people that are joining us and our visibility into acceleration in 2015.
Suraj Kalia: Dan, one of the things I heard and forgive if I didn't get the numbers right. I thought I head there were 39 reps, direct reps on hand and this would be number that we would still be existing fiscal 2015. So essentially, the way I interpret this with the increased guidance is the burn related to the number of reps on hand is approximately going to remain stable, but you're probably looking at increasing productivity. Did I get the math right on the numbers and the way I'm thinking through this or are you looking out at more?
Dan Goldberger: Not exactly, if you look at slide number eight I believe it was. We are adding approximately three full time employees per quarter, each quarter in 2015. And the expense of those employees roughly half of it is fixed in salary and the other half is variable compensation commissions. So, the sales expenses will be increasing slightly through the year. That said because it takes six to nine months for a new asset to become productive, this 36 that we have program for the third quarter of 2015 are already on the payroll. So, you will see some small increase. You ought to model some small increase in the sales expense as you will through 2015 and into 2016 representing our ongoing investment into that channel development.
John Gandolfo: I think Suraj, this is John. I think some of the confusion is that on slide eight that is showing productive sales reps. So at the end of year, we anticipate to be existing year where 39 productive sales reps. There might be 48 full sales reps hired by the company at that point in time, some of which have not yet met productivity by our definition.
Suraj Kalia: Fair enough. Okay. Dan, did you mentioned, the businesses -- the two product lines that you are existing, what was the total dollar amount impact that you'll are going to take because of existing that business. I'm just trying to see that 40 to 42’s guidance, have those business lines still been in there? What was the impact and we just do year-over-year comparison in fiscal 2014 if you remove that those two lines of business versus fiscal 2015 guidance, what is the incremental growth you'll are talking about?
Dan Goldberger: Those businesses represented between $400,000 and $500,000 per year of revenues combined basis. So, it was not material to the Company's revenue stream certainly. The question you have with respect to the – I think that you had a question about what the expense related to was we – I think I mentioned that there was a one time non-recurring impairment charge of $912,000 that we reported in the four quarter associated with that existing it.
Suraj Kalia: Fair enough. And final question Dan, I guess, are you comfortable now, looks like that the ship has stabilized. Our understanding always has been that the revenues per case or give or take in the range of $2,000 per case, where do you think exiting fiscal 2015, you think we could be to generate organic productivity? Thank you for taking my questions.
Dan Goldberger: Certainly, and absolutely not only has the business stabilized and the underpinnings of the business have been strengthen. We are now growing and I am looking towards accelerating growth because of the new product launches and the additional headcount that we are adding. We have seen throughout 2014, we saw steady increases in our revenue per procedure and we saw – actually I believe that the full year our average productivity was more like $330,000, $340,000 per productivity sales rep per quarter. So, the management challenge is to add those sales assets and maintained that productivity of above $300,000 per rep per quarter. And now that we've got the model down and have demonstrated success in recruitment, I'm increasingly confident that we're going to meet or exceed those metrics.
Suraj Kalia: Gentlemen, congrats again.
Dan Goldberger: Thanks. Thanks for your support.
Operator: Thank you. Our next question comes from the line of RK [ph] with H.C. Wainwright. Please go ahead with your question.
Unidentified Analyst: Good morning, Dan and John. Congratulations on a great last year and obviously a good quarter as well.
John Gandolfo: Thank you, RK.
Unidentified Analyst: I have two questions. So, [Indiscernible] I apologize that some of these has been told during your opening remarks, because just I joined the call a little late. Thinking about the market as such and we all understand there is some market dynamic shift going on especially that Integra changed the [Indiscernible] C-Spine separate entity. And I would think that there will be some kind of market, marketing issues at least for that company. So, how is that helpful for you to grow your market share and go beyond into current or at least 2013 6% number that we have had in terms of market share?
John Gandolfo: That's an excellent question RK. Any time there is disruption in among the larger players that creates opportunities for a nimble direct sales activity like ours both in terms of uncertainty at the customer level but also in our ability to recruit sales assets to our company. So, we see those external dynamics, the C-Spine spin-off, the Biomet, Zimmer relationship, the Wright Medical 20-A combination. All those larger mergers are creating opportunities for us to enter into the hospitals where we have not historically had contracts to recruit sales assets or both.
Unidentified Analyst: Thanks you. And then coming to some of the announcements that you made in the last week regarding Spartan and the GPO extension that you realized, especially on the GPO extension, we understand that, that particular GPO is contributing about 25% or so of your revenue. Now with this extension, I mean, is that – does this mean it’s a bigger vote of confidence for you from the GPO or is this just standard business? And where do you want that contribution from that source to go with this new extension?
John Gandolfo: So, that's a very good point. This is a profound vote of confidence from Novation, one of the largest national group purchasing organizations. And not only does the contractual terms create additional opportunities for us, we are gaining increasing access to some of the sales resources at Novation. By that I mean, instead of being a passive relationship, the sales team at Novation is helping our team actively open up new hospitals or introducing us actively to new physicians and that's a very powerful force combination.
Unidentified Analyst: That's what I would think and I think that I would consider it as a successful to management as well as to keep that going. And moving on to, the 10.8 million breakeven targets that you have for yourself, which is asking for almost a 19% growth compared to the $9.1 million that you just announced in fourth quarter. And also, at the same time you've given a statement saying that we're not looking for additional investment. So, this all that contribution of that 19% growth, is it all coming just from the maturity or the maturity of the salesforce and also the growth of the product or is there something else that we're not seeing especially the new introductions that you will be making in 2015. So what are the in and hang [ph] of that 90%?
Dan Goldberger: So we believe that the 19% sequential growth if you will from $9.1 million on our previous quarter to $10.8 million. We believe that could be achieved with our existing resources, by that I mean, the sales employees that have already been hired, but need to mature and become productive over the course of 2015 and our existing product portfolio. The new products that we launched in 2014 especially 3Demin have been an upside surprise and that would be upside to our internal projections as well as the product launches that we have scheduled for 2015. Those were not programming a lot of revenue in 2015 from those product lines, but if those launches are as successful as 3Demin launch has been than again that's upside opportunity for us to outperform.
Unidentified Analyst: So, one last question on – this is on the Spartan business. It looks like you're actually entering into kind of a niche market and getting into – getting into the VA system is not an easy task. So, could you comment on what you're expecting from this, what, when, how kind of question?
Dan Goldberger: So, strategically when I first join the company I identified one of our weaknesses was relationships with government and military facilities. Bob Di Silvio took the lead on getting the Company positioned to enter into those markets. We believe that ultimately 20% of our revenue should be coming from those channel, but its going to take time to get there, I think that's a three-year goal that Company has 20% of its revenue coming from those channels. There'll be some close in short term wins. But this is a marathon working with the government; working with the military is a long term strategy.
Unidentified Analyst: Excellent. Congratulations again, I'll talk to you soon.
Dan Goldberger: All right. Thank you so much for your support.
Operator: Thank you. Our next question comes from of John Vandermosten with Singular Research. Please go ahead with your question.
John Vandermosten: Good morning, Dan and John. How are you?
John Gandolfo: Good morning, sir. How are you?
Dan Goldberger: Good morning, John.
John Vandermosten: I'm doing well. Thanks for the opportunity to ask a few questions. First I just wanted to explore a little bit more the exit from the CMF and coatings business. Are you expecting some cost savings from this exit?
Dan Goldberger: I wouldn't say cost savings, but the revenues that John identified $400,000, $500,000 last year was at very, very low gross margins. So, we'll get some benefit in our blended gross margins, but it’s a small lever.
John Vandermosten: Okay. And then $913,000 write-off was that – that was inventory related or the assets that were associated with those businesses that's also went down?
John Gandolfo: It was probably 90% of it was inventory related with the balance might have been some related equipment.
John Vandermosten: Okay. And are you expect – I know you said you're going to transition these lines back to their original owners. Are you going to expect any some kind of cash flow from that transition at all when it happens?
John Gandolfo: I think that there'll be some cash flow, but its going to immaterial to the Company's operation. So I wouldn't certainly model anything in from that vantage point.
John Vandermosten: Okay. And then, just on the salesforce side of things. The bonus payments for sales, does that happen when the sale is made or does it happen in line with the sales cadence or does it happen after the sales complete. I'm just trying to get an idea of when we'll see revenues and then when we'll see the expenses flow through, because it's more simultaneous, is there a lead or lag on that?
Dan Goldberger: I think you're talking about commissions, not bonuses.
John Vandermosten: Correct, right, yes, exactly.
Dan Goldberger: So, the commissions are earned when we invoice the customer. They are paid on collections but they hit the income statement when they are earned which is
John Gandolfo: They are accrued.
Dan Goldberger: So, which is simultaneously with the invoice revenue.
John Vandermosten: Okay. And you help with this little bit on some of the slides where you're going to the breakeven margin and everything. But I guess what should we see in terms of relationship between topline growth and growth in sales and marketing cost, does it maybe 50% of topline for sales and marketing growth or is there – what kind of relationships should we expect to see?
Dan Goldberger: So, for incremental revenue after we've absorbed all of the fixed expenses, its – the marginal cost of sales is 18% to 20%.
John Vandermosten: Okay. And on the Spartan, when do you expect the first revenues to come in from this. I mean, I know we don't know quite how much will be or how long it will take to the 20%, 25% target, but when do you anticipate first revenues to start hitting the topline?
Dan Goldberger: We'll have some small wins in the current quarter, but material revenue will be in the back half of the year.
John Vandermosten: Okay. And just final question, you may have mentioned this, but I missed it just the current number of reps, not active reps, the total reps that you have as of the first quarter?
Dan Goldberger: We had 38 full time employees as we exited 2014.
John Vandermosten: Okay. And you're hiring about..?
Dan Goldberger: On salary.
John Vandermosten: Okay. 38 on salary and you have about what 41 right now currently on salary?
Dan Goldberger: Correct.
John Vandermosten: Okay. All right. Well, thank you both so much help and great to hear the positive topline guidance and thank you for your time.
Dan Goldberger: Thank you, sir. Have a good day.
Operator: Thank you. [Operator Instructions] our next question comes from the line of Brian Novelline with DRW Investors. Please go ahead with your question.
Brian Novelline: Hi, guys. I just wanted to try to understand. So, how do you work to the regulatory since you have the shareholder equity problem and you need to get through that to get the equity infusion, so it seems like you are --- it's kind of a tricky situation? So, help me understand how that approval might come without getting the infusion?
Dan Goldberger: Well, we can't comment too freely because we are in an appeals process right now. But the straight forward approach of selling a bunch of common stock to try and resolve that deficiency is one that we've decided not to follow. As I alluded to in our remarks, we're looking at a possible merger or acquisition transaction that would substantially rebuild our balance sheet.
Brian Novelline: Got it. So, is there a timing for the appeals process?
Dan Goldberger: There is a not a specific calendar, no.
Brian Novelline: And so to the extent you don't get that specific listing resolved, the Aspire deal won't take place, but you still have the option of executing on the merger or some sort of transaction, so that would be kind of sort of two paths. And if you don't get the listing, the Aspire equity is not available to you?
John Gandolfo: Not exactly, the Aspire transaction because we are currently listed on the NYSE is subject to the approval of the NYSE for that transaction. So, maybe the confusion as the approval of the NYSE, they were approving the transaction with Aspire within next week based upon their schedule. The approval is not contingent upon the listing being approved by NYSE.
Brian Novelline: Got it. Okay. Okay. That's helpful. And is there any more color with regard to kind of the environment, anything you can say with regard to kind of the acquisition you're looking at?
John Gandolfo: Not at this time.
Brian Novelline: Okay. Appreciate it.
John Gandolfo: Thanks, Brian.
Operator: Thank you. Our next question comes from the line of Todd Robins with Robins Temple [ph] Management. Please go ahead with your question.
Unidentified Analyst: Well you’ve certainly accomplished a great deal Dan and John, you both should be congratulated. I think this is the best conference call I’ve heard from Bacterin and I think the accomplishments you’ve made on the sales and product from financial sides you are terrific. I was just curious, within I don’t know three, four years without any kind of a suggestion of a price increase for your products, how do you guys come out on that thought and wouldn’t it be appropriate to think about some kind of a price increase given your discount to your comparable competitors?
Dan Goldberger: That’s a great question, Todd. And as a matter of fact we actually did raise prices on January 1st of this year given that the delicacies of our market place its not something that we broadcast to the financial community, but we had a very effective price increase at the first of this year that’s rippling through our various contractual obligations.
Unidentified Analyst: Where I characterize that as something in a single digit category?
Dan Goldberger: On certain product lines it was much more substantial than that and on other product lines which frankly are smaller revenue contributions it’s single digit.
John Gandolfo: Just like to add there Todd, the yield from that will likely be single digit because a lot of the reimbursement comes through contractual arrangements. If you put through a 10% price increase to give you an example you might only get a yield of 4% to 5 % on that because of contractual relationships.
Unidentified Analyst: That’s really helpful. And John shouldn’t that give us some cushion or some list to the gross margin assumption you are using?
John Gandolfo: Yes, I mean I think that as I mentioned in the [Indiscernible] place we do believe that there is some upside to the guidance we’ve given. We just for the time being want to remain somewhat conservative and keep it at that 61% to 63% level but there is definitely a little upside that we believe we might be able to accomplish.
Unidentified Analyst: That’s terrific. Okay, thank you both very much.
Dan Goldberger: Thanks, Todd.
John Gandolfo: Thank you, Todd.
Operator: Thank you. Ladies and gentlemen, there are no further questions at this time. I would like to turn the floor back over to management for closing remarks.
Dan Goldberger: Thank you. Thank you all for taking time to listen to our reports this morning and we’re looking forward to great things in the rest of the year. Have a good day. Thank you.
Operator: Thank you ladies and gentlemen. This does conclude our teleconference for today. You may now disconnect your lines at this time. Thank you for your participation and have a wonderful day.